Operator: And thank you for standing by. Welcome to Howard Hughes Holdings Inc.'s fourth quarter 2024 earnings conference call. At this time, all participants are in a listen-only mode. After this presentation, there will be a question and answer session. You will then hear an automatic message advising your queue status. Please note that today's conference is being recorded. I would now like to turn the conference over to Eric Holcomb, SVP of Investor Relations. Please go ahead.
Eric Holcomb: Good morning, and welcome to Howard Hughes Holdings Inc.'s fourth quarter 2024 earnings call. With me today are David O'Reilly, Chief Executive Officer; Jay Cross, President; Carlos Olea, Chief Financial Officer; Dave Striph, President of Asset Management and Operations; and Joe Galiano, General Counsel. Before we begin, I would like to direct you to our website, howardhughes.com, where you can download both our fourth quarter earnings press release and our supplemental package. The earnings release and supplemental package include reconciliations of non-GAAP financial measures that will be discussed today in relation to their most directly comparable GAAP financial measures. Certain statements made today that are not in the present tense or that discuss the company's expectations are forward-looking statements within the meaning of the federal securities laws. Although the company believes that the expectations reflected in such forward-looking statements are based upon reasonable assumptions, we can give no assurance that these expectations will be achieved. Please see the forward-looking statement disclaimer in our fourth quarter earnings press release and the risk factors in our SEC filings for factors that could cause material differences between forward-looking statements and actual results. We are not under any duty to update forward-looking statements unless required by law. I will now turn the call over to our CEO, David O'Reilly.
David O'Reilly: Thank you, Eric. Good morning, everyone. Welcome to our fourth quarter earnings call. On our call today, I'm going to begin with a recap of our incredible year, cover the segment highlights for our Master Plan community. Dave Striph will cover the performance of our operating assets followed by remarks from Jay Cross. We'll provide updates on our strategic development projects. Finally, Carlos Olea will provide a review of our 2025 guidance and the balance sheet before we open up the lines for Q&A. In the fourth quarter, we delivered strong financial performance across our contributing to record full-year results in each segment which met or exceeded our latest guidance expectation. Highlights of the year include record MPC EBT of $349 million resulting from record residential land sales revenue, and average price per acre. Operating assets delivered record NOI of $257 million, a 6% increase year over year with solid growth in each core asset type. In strategic development, we delivered sold out every unit at Victoria Place and Ward Village, generating record condo revenue and gross margin. In addition, with strong presales, at our four towers under construction in Hawaii and Texas, we finished the year with 96% of their combined units under contract. Although credit markets remain tight during 2024, we executed over $860 million of financings, including more than $300 million in the fourth quarter alone. These transactions included two significant condo construction loans totaling $680 million enabling the start of construction to collide and the Ritz-Carlton Residences, The Woodlands, as well as several important refinancing for loans nearing maturity. We also greatly improved our liquidity through an innovative sale of current and future MUD receivables in Bridgeland, significantly accelerating their collection time off. This transaction also enabled the pay down of nearly $200 million of MPC debt while expanding our MPC line of credit and extending its maturity. Looking deeper into the results of our MPC segment, EBT was $57 million in the fourth quarter, driven primarily by the sale of 60 residential acres across our MPC at an average price of $909,000 per acre. This includes strong home and other demand in Texas, where we sold a total of 56 residential acres in Bridgeland and The Woodlands Hills, as well as the first sales of custom lots in Astria, our newest luxury gated community on the mountainside in Summerlin. Offering sweeping views of the Red Rocks in the Las Vegas Valley, Astria does not disappoint. In the quarter, we closed on the sale of six custom lots or approximately four acres at an incredible average price of $6 million per acre, clearly demonstrating Summerlin's appeal to ultra-luxury home buyers. In Terra Valley, we sold an additional 34 acres in Florio during the fourth quarter bringing total sales to 115 acres, or approximately 800 lots, at an impressive average price of $777,000 per acre. With seven homebuilders acquiring land thus far, we expect to on model homes will begin soon, with a full-year grand opening later this year. The strong results of the quarter contributed to a full-year record MPC EBT of $349 million exceeding the mid of our most recent guidance by $19 million and outpacing 2023's record results by 2%. This remarkable result which was achieved despite a difficult market backdrop, and a $34 million year-over-year decline in commercial land sales was driven by strong residential land sales holding 445 acres across our MPC at a record average price of $990,000 per acre. Turning to new home sales, our MPC sold 510 residences in the fourth quarter, bringing the total for the year to 2,234 homes. As a result, Summerlin, Bridgeland were ranked as the number five and number seven top-selling MPCs in the nation respectively and RCL code's 2024 report. Further exemplifying the significant appeal Howard Hughes Holdings Inc.'s award-winning match and setting the stage for continued growth in 2025. From a housing market perspective, although mortgage rates are climbed back into the 7% range in recent months, we anticipate another strong year for new home construction in 2025, driven by several key factors. First, the resale market continues to be locked up by high interest rates, with more than 50% of existing mortgages under 4%. This is limiting inventory of existing homes and driving resale prices higher. As a result, the average new home premium or the additional cost of a new home compared to a retail home with a historical lows and only 4% on average in 2024. This is making new homes very attractive in today's market. Also with the median age of existing homes in the US now over 40 years, new homes offer superior build quality, better efficiency, and modern amenities. And finally, builder incentives including mortgage rate buy downs, allowances, comprehensive warranties as well as lower insurance cost. Simply make new homes more affordable. With these market dynamics, we expect to see continued strong consumer demand for new homes in 2025. When combined with a continued lack of finished inventory, and an undersupply of vacant developed lots in Las Vegas and Houston, we anticipate increased homebuilder demand for new residential acreage throughout the year. Particularly in Summerlin, Bridgeland, Additionally, with strong demand for custom lots in Summerlin, also expect to see increased sales in Astria, our new 170-acre luxury gated community on the mountainside. With the first six lot sales in the fourth quarter commanding an impressive average price of $6 million per acre, we expect a strong contribution from this new community going forward. Overall, we expect another strong year in our MPC segment during 2025 with the most likely set new full-year EBT records. Carlos will provide more details on our guidance in a few moments. I'm now gonna turn the call over to Dave Striph for a review of our operating assets.
Dave Striph: Thank you, David. In the fourth quarter, our operating assets delivered $61 million of NOI, including the contribution from unconsolidated ventures which reflected strong growth of 9% year over year. For the full year, we generated record NOI of $257 million which was in line with the midpoint of our most recent guidance and a 6% increase relative to 2023. Starting in office, we produced fourth quarter NOI of $29 million and record full-year NOI of $125 million both of which were up 5% year over year. Increases were primarily due to improved occupancy and abatement ex related to our strong lease-up activity in recent periods most notably in The Woodlands and Summerlin. These gains were partially offset by some tenant vacancies at various properties in The Woodlands in downtown Columbia as well as initial operating losses at Meridian and ten 285 Lakefront, which were both completed last summer. In 2024, the company continued its impressive leasing performance executing 473,000 square feet of new or expanded office leases, including 323,000 square feet in The Woodlands, 91,000 square feet in downtown Columbia, and 59,000 square feet in Summerlin. At the end of the year, our stabilized office portfolio was 89% leased, with The Woodlands and Summerlin at 91% and 95% leased respectively. With the solid performance, we expect incremental NOI improvement in 2026 as office build-outs are completed and free rent periods burn off. In our multifamily portfolio, we generated $15 million of NOI in the fourth quarter, representing a 13% improvement over the prior year and contributing to record full-year NOI of $59 million. The strong performance reflected 11% year-over-year growth which was primarily driven by the continued successful lease-up of our unstabilized assets as well as improved overall leasing at our stabilized properties. Ended the year at 96% leased. Looking closer at our unstabilized assets including Marlowe in Downtown Columbia, Canyonecho in Summerlin, and Wingspan in Bridgeland. We finished the year with these communities 69% leased on average. This is a considerable improvement from the prior year when these properties were 36% leased in aggregate. Overall, we continue to see solid demand for these new assets with each property experiencing significant growth during 2024. At the end of the year, Canyonecho was 79% leased, Marlowe was 72% leased, and Wingspan was 52% leased. With our consistent leasing performance, as well as the anticipated completion of One Row, The Woodlands during 2025, we expect continued incremental NOI growth in the coming years. In retail, NOI was $13 million in the fourth quarter which reflected a 15% increase compared to the prior year. This improvement primarily related to non-recurring prior year reserves with various tenants in Hawaii as well as the opening of new ground floor retail at Koula in Ward Village. These factors also had a significant impact on our full-year results with retail NOI improving 8% year over year to $54 million. Overall, at the end of 2024, our stabilized retail portfolio was 96% leased. Before I turn the call over to Jay, I would like to provide an update on our retail leasing progress in Downtown Summerlin, which is celebrating its tenth anniversary in 2025. Looking back to June of last year, we had more than 35 tenants or approximately 150,000 square feet of risk embedded in leases maturing in 2025. As we've discussed in the past, we elected to not renew many of these leases in an effort to upgrade the tenant mix to provide for better long-term financial performance and value enhancement. To date, our efforts have been very successful, with only seven spaces or approximately 15,000 square feet of space remaining for lease this year, nearly all of which are in negotiations. More importantly, we have greatly improved Downtown Summerlin's retail offering with new names in Lululemon, Municipal Gym, Roche Bobois, Alo Yoga, and Pop Mart, all of which will undoubtedly have a positive impact on Downtown Summerlin's vibrancy and financial performance. With these new tenants in transition and set to open during 2025, we will see a short-term reduction in NOI this year, but we are very positive about the long-term growth opportunities for Downtown Summerlin in the years ahead. With that, I'll now turn the call over to Jay Cross.
Jay Cross: Thanks, Dave, and good morning, everyone. In strategic developments, we had an outstanding quarter, including the delivery of our seventh condo tower and two new retail developments closing out another strong year of development across our community. Starting in Hawaii, we celebrated the completion of Victoria Place in November and closed on the sale of all 349 units before the end of the year. As a result, we recognized record condo revenue of $779 million in the quarter, which translated to $212 million of gross profit for an impressive 27% gross margin. At our other condo projects, we had another strong quarter of presales, contracting to sell 19 condos. The majority of these related to The Nalu, our eleventh condo project in Ward Village, which continues to see steady demand. At quarter end, The Nalu was 58% presold with construction expected to start later in 2025. We also sold a few units at The Park Ward Village and Kalae, taking these projects to 97% and 93% presold respectively. At Ulana, our workforce tower, which is 100% presold, construction continued to progress on schedule. We expect to deliver this project in the fourth quarter of 2025. In Texas, we started construction on the Ritz-Carlton Residences, The Woodlands, in early October. With one unit contracted in the fourth quarter, this 111-unit luxury project is now 70% presold. In an effort to maximize returns, the majority of the remaining 33 units are currently not available for presales. We expect to put these units on the market closer to the project's completion in 2027. Overall, at year-end, our projects under construction and in presales were remarkably 87% presold and together represented more than $2.6 billion of future revenue which will be recognized between 2025 and 2028 as each project is delivered. In our commercial portfolio, we completed two new retail projects during the fourth quarter, including the Summerlin Whole Foods-anchored grocery center and Village Green at Bridgeland Central anchored by HEB. These projects, which have a combined future stabilized NOI contribution of approximately $4 million, have seen strong demand. At quarter end, both retail centers were approximately 75% leased with all the remaining space in negotiations. And finally, we currently have three other projects underway in Texas, including the One Woodlands Row multifamily and Grogan's Mill retail redevelopment project in The Woodlands, the One Bridgeland Green at Timber Office in Bridgeland. These projects are expected to generate future stabilized NOI of $12.5 million and are on schedule to be completed during 2025. And with that, I would now like to hand the call over to our CFO, Carlos Olea, who will review our 2025 guidance and the balance sheet.
Carlos Olea: Thank you, Jay, and good morning, everyone. With our record-setting performance in each of our business segments during 2024 complete, we now shift our focus to delivering another outstanding year in 2025. In our MPC segment, EBT is projected to achieve new records aided by continued tight supply of resale homes and low inventories of vacant developed lots. As a result, we anticipate solid new home sales in each MPC and continued strong homebuilder demand for residential land throughout the year. In Summerlin, we expect to see growth in residential land sales driven by superpad sales largely concentrated in the second and third quarters as well as increased custom lot sales in Astria. In Texas, residential land sales are also expected to increase in Bridgeland. Overall, 2025 MPC EBT is expected to be up 5% to 10% year over year, with a midpoint of approximately $375 million. In operating assets, we anticipate strong performance from our multifamily and office portfolios with record NOI expected in both asset types. Multifamily growth will be driven primarily by improved leasing and occupancy in our unstabilized multifamily developments which were 69% leased at the end of 2024. While in office, it is expected to be driven by our strong leasing momentum and expiring rent abatements across the portfolio. This improvement, however, would likely be partially offset by lower occupancy of various properties in downtown Columbia, Downtown Summerlin, and The Woodlands, and initial operating losses from our newest office development. Retail is expected to see a modest reduction in 2025, primarily due to nonrecurring collection of tenant reserves in Ward Village during 2024, and the impact of ongoing tenant upgrades, which are underway in Downtown Summerlin, during its ten-year anniversary. Overall, we expect modest growth in 2025 with operating asset NOI expected to be in a range of flat to up 4% with a midpoint of approximately $262 million. Condo sales revenues are projected to be approximately $375 million in 2025, driven entirely by the closing of units at Ulana, a workforce housing development in Ward Village that is sold out and expected to be completed in the fourth quarter. Because Ulana is a workforce tower, and not a market rate tower, the company does not expect to recognize any gross profit from the project. The Park Ward Village, our next market rate condo development that is expected to be completed in 2026, is already 97% presold with contracted revenues of nearly $700 million. We expect cash G&A to range between $76 million and $86 million in 2025, or a midpoint of $81 million excluding approximately $9 million of anticipated non-cash stock compensation. This guidance represents an improvement relative to our 2024 cash G&A of $83 million due to cost savings implemented late in the year. As announced at our investor day last November, we are introducing a new guidance metric for 2025 called adjusted operating cash flows. This metric is a combined view of our operating performance, including MPC operating asset NOI, and condo gross profit, less cash G&A and net interest expense. We expect this new metric will provide a more straightforward approach to modeling our overall financial performance, while providing enhanced insight into our cash generation capabilities and drivers of future growth. Using the guidance measures I provided, we project our adjusted operating cash flow will range between $320 million and $375 million in 2025, with a midpoint of approximately $350 million or approximately $7 per share. Compared to 2024 when we generated $535 million of adjusted operating cash flows, we expect a reduction of approximately $185 million which is driven by the reduction in condo gross profit from Victoria Place in 2024. Overall, with this guidance and a disciplined approach to capital allocation, we expect to end 2025 with approximately $600 million in cash, not including any potential benefit of additional MUD sales, which could be contracted later in this year. More information on adjusted operating cash flow and a reconciliation of our 2024 results are available in our earnings release and investor presentation on our Investor Relations website. Looking at the disposition, we continue to streamline our operating asset portfolio during 2024 to better focus on properties that we believe add value and are core to our business model. As a result, we sold the Lakeland Village Center at Bridgeland for $28 million during the fourth quarter, as well as two non-core ground leases in Houston which resulted in a combined gain of $15 million. For the full year, we recognized gains of $23 million including the sales Creekside Medical Plaza in The Woodlands during the first quarter. Turning to our balance sheet, we ended the year in a position of strength with $596 million of cash, and approximately $315 million of available lender commitments, which can be drawn for any development project or any corporate use. Combined, we had over $900 million of available liquidity giving us well positioned to allocate capital to our development pipeline. At the end of the fourth quarter, the remaining equity contribution needed to fund their current projects which will not all be spent in 2025, was $237 million. From a debt perspective, we have $5.1 billion outstanding at the end of the year with $421 million of maturities in 2025. The majority of these maturities relate to construction loans for our newer development including the 1700 Pavilion and 6100 Merriweather office, in the Marlowe, Canyonecho, and Wingspan multifamily project. We expect all of this will be successfully refinanced during the year, with discussions for most already well underway. In the fourth quarter, we completed several important financing transactions, including a $260 million construction loan for the Ritz-Carlton Residences, a $38 million refinancing on the Sterling and Griffin construction loan, and a new $13.5 million financing for Waterway Plaza Two which we purchased for $90 million in cash during the second quarter. We also increased the capacity of the Bridgeland notes by $125 million and extended its maturity by three years to 2029. Overall, at the end of the year, our weighted average debt maturity was five years with 82% of our debt maturing in 2027 or later. Additionally, 94% of our debt was fixed, capped, or swapped to a fixed rate. With that, I would like to hand the call back over to David for closing remarks.
David O'Reilly: Thank you, Carlos. Before we open up the lines for Q&A, I want to touch on two items. First, earlier this year, the governor of Hawaii approved an amendment to local development rules, which we believe favorably impact our residential entitlements in Ward Village. With this change, we estimate the potential for an additional 2.5 to 3.5 million square feet of entitlements which could be used to construct additional condo towers in the areas of Ward Village, that have not yet been redeveloped. This is a significant development for Howard Hughes Holdings Inc., which we expect will positively impact our NAV for future condominium projects and enable the continued transformation of Ward Village, well beyond 2030. I also want to take a moment to reflect on our adjusted operating cash flow metrics. And how we reinvested the $535 million generated in 2024. We invested approximately $170 million in condominium developments and infrastructure primarily for our future projects in Hawaii and current project in The Woodlands. While these developments require considerable upfront capital in 2024, our strong track record of delivering sold out condo towers with 25% to 30% gross margins fully supports our investment. With eight more towers underway or in advanced development, and now the potential for additional entitlements in Hawaii, we are poised to deliver significant condo profitability and cash generation for many years to come. From a commercial perspective, we invested approximately $160 million in our operating asset portfolio. The most significant contributions were the funding equity requirements for current projects with the latest being the One Woodlands Row multifamily project in The Woodlands, and the Whole Foods-anchored grocery center in Summerlin. We also funded some of the remaining development costs in various projects across the portfolio, as well as pre-development for projects in our pipeline. All of these projects are expected to generate solid stabilized returns and neatly grow our recurring stream of net operating income in years to ahead. In addition, we spent approximately $170 million to fund the successful spin-off of Seaport Entertainment and seven months of its operating losses. While significant in 2024, this represents meaningful future cash flow savings that we can allocate to higher return opportunities. Finally, in MPCs the remainder of that free cash flow was invested net of one receivable sale, into horizontal development. This not only supported our record land sales in EBT in 2024, but also future land sales which we expect will reach new all-time highs in 2025, with cash gross margins of approximately 80% or more. Overall, our new metric highlights the key drivers of our self-funding business model and the opportunities we have to grow NAV by investing in development generate exceptional returns greater than our cost of capital. As we look into 2025 with our strong foundation of liquidity and anticipated adjusted operating cash flow of approximately $350 million we are well positioned for the future. Although we are not currently planning many new projects in today's rate environment, we remain committed to a disciplined approach to capital allocation. With our development spend aligned with the free cash flow we expect to generate. This will ensure we have ample liquidity available to fund new investment opportunities that will meaningfully grow adjusted operating cash flow in the coming years. And achieve the highest return possible for our shareholders. Before we begin Q&A, I want to remind everyone that this special committee of our Board of Directors is responsible for evaluating Pershing Square's most recent schedule 13D filing and the associated proposed transaction. The board and the special committee are committed to acting in the best interest of the company and its shareholders. The special committee will provide an update to our stockholders as and when appropriate. And as such, we will not be taking any questions today relating to such matters. With that, let's start the Q&A portion of the call. Operator, can you please open the line for the first question?
Operator: Now first question coming from the line of Alexander Goldfarb with Piper Sandler. Your line is now open.
Alexander Goldfarb: Morning. Morning. Morning down there. Hey. Just a few questions. And first, congrats on the expanded entitlements in Hawaii that's something that you guys have been talking about. And, for some time, certainly, we've been advocating just given your success out there. So nice job there. So a few questions, David. First, no problem. First, on cash flow and certainly appreciate the increased color. Maybe I'll just start with Seaport. Can you just give an update? Because Seaport has cost you guys a tremendous amount of money for, you know, well over a decade. It's also been a cash drain and 2025 will be the first year that you are not impacted by any of that. So could you just provide some aggregate perspective how much that project cost how much that was a drain on cash flow over the past few years, how much of a benefit not having that in the in the company as people think about your new operating cash flow You know, how how the impact of that because I would have to think substantial.
David O'Reilly: Yeah. Alex, it's an interesting question, and and I'd know, I don't wanna spend a ton of time on assets that we've spun off successfully and have said on its past due maximizing value for the shareholders of Seaport Entertainment, Look, you know, based on the spin filings, it's pretty clear you can go back and see what our book value was at time to spend. It was a little bit over a billion dollars. Before the impairment charge that was taken last year. I think more importantly, as we talked about where last year's adjusted free cash flow went in the prepared remarks, just before Q&A. We talked that last year in the seven months or eight months that we owned that asset with the losses in the first half of the year and the debt pay downs in transaction costs, it used up about $170 million of that adjusted operating cash flow. And not having to use that in 2025 frees us to make better capital allocation decisions that drive a higher risk adjusted returns for our shareholders. We're excited about that. Opportunity to do that in this coming year and think that we'll find opportunities as the year progress.
Alexander Goldfarb: Okay. The next question is you know, Carlos, you gave guidance for the operating free cash flow, which is down from last year, and yet you're still expected to end you know, net cash position roughly unchanged So is that really just a reflection of not having the seaport drain, or are there other things that you guys have adjusted in your in your cash flow retention that have improved the efficiency despite you know, not having the the profit you know, having a different mix on condo deliveries this year.
Carlos Olea: Hi, Alex. This is this is Carlos. So the the the change in cash flows is as we say driven by the fact that we don't have market rate condo closing units but it does remain, as you said, relatively stable. Because as we've said before, during this times in the economic conditions that we're in, we're being very deliberate on where we deploy capital. New project. And so as as you know, and everybody's in public knows, we're our our development pipeline has has been more specific. Focus on on on certain projects that make sense in the time. And that allows us to regain a very healthy cash position even in a year when we don't have a market rate going up posting.
Alexander Goldfarb: Okay. And just maybe a final one for for Summerlin. The increased gross asset value slide update was very helpful Pretty impressive how much it's changed from November. But Summerlin stands out in just a dramatic acceleration in price per acre I'm just curious, how much of this is driven by, let's say, discovery versus the normal sort of that six, seven hundred thousand dollar type home that you guys have there. I'm just trying to understand what the real driver is on a mix basis it definitely stands out for how much that community has increased on a price per acre.
David O'Reilly: Yeah. It it's a great question, Alex. And you know, there certainly has been price appreciation across the board in Summerlin in custom lots, not just within the Summit, our partnership with Discovery, as we reported this quarter in our new custom lot community that we're doing on our own, Astria it has averaged $6 million per acre. But the vast majority of the valuation change, just given the number of acres because this is a weighted average calculation, is coming from the sale of Superpads. And when we're selling SuperPads at over a million dollars, relative to, you know, six hundred thousand six, seven years ago, that's it, the meaningful change. And in this current quarter, we're reporting Superpad sales at one three one point four million an acre. That increase is for home builders buying those super pads, building production homes, that's the majority of the land that we sell in any given quarter and any given year in Summerlin, and that's driven Driving The majority of the price increase that we're benefiting of with the summer of last year.
Alexander Goldfarb: Thank you, David.
David O'Reilly: Thank you, Alex.
Operator: Thank you. And our next question coming from the line of Anthony Paolone with JPMorgan. Your line is now open.
Anthony Paolone: Thank you. Good morning. I guess just going back to the cash flow discussion, if we look at the $350 million at the midpoint of your guidance, and think of that as a source of cash, can you maybe zoom out for a minute and just give us the the bigger picture on sources and uses, both the the source from the operations as well as maybe any financing and then just planned uses You said
David O'Reilly: Yeah. Sure. And I think that the components of guidance that Carlos walked through really show the sources of of cash flow pretty well you know, midpoint of $375 million of MPC EBT, $262 million of operating asset NOI that's offset by G and A, which is down modestly. We expect next year rolled to this year. And interest expense those are the sources that add up and deliver the $350 million at the midpoint of our guidance In terms of uses for next year, we have unfunded commitments that are detailed in the supplemental for new construction projects or existing projects under construction. That some of that capital will go to. Some of it will go to support condo development as well. Whether it's the Ritz Carlton in the Woodlands or other projects our equity components will come from that. And some of it will go into recurring capex within our operating asset portfolio. Right now, we haven't announced any new development projects that would use that capital. So you know, it's why we're able to talk about a cash balance that's very similar if not slightly higher, and incremental liquidity at the end of next year.
Anthony Paolone: Okay. Maybe if if I ask you a bit differently, like, if we think about you have West Phoenix, and you still have a lot to do with with your other MPCs. You know, putting aside the condos in Hawaii because those you know, tend to get funded almost themselves, it seems. Like like, what should we think of as just a recurring out of pocket horizontal development spend know, over the next several years.
David O'Reilly: So that's an interesting question, Anthony, because it gets to the difference between EBT and the profitability of the underlying land that we sell. And MPC not net contribution, which is the cash flow because the the dollars that we're investing today will be for lots that we're selling tomorrow. In general, and and, you know, to take it kinda community by community, West Phoenix and Terra Valles is gonna cash flow neutral. We expect that to entirely self fund itself for the next several years. Based on the land sales that we've talked about today and the the expected future land sales as we get into future phases. The remainder of the assets, there are a couple of major infrastructure projects. That will create interim uses of capital, but they're not material. You know, we think that this is a good representation of our operating cash flow and that there's Not a lot of incremental drain coming from the horizontal development. And, you know, when we talked about this year and I walked through all the components, pieces, of where it went It with the bigger pieces were in condo development, vertical development, Seaport and then the remainder, which is kind of just the what was left over you know, after the MUD receivable sale was pretty nominal relative to the spend in those other categories.
Anthony Paolone: Okay. Thanks for that. And then just My follow-up here, can you give us some updates on the expected legislation in Nevada for for studios and just kinda what's happening there. I think the anticipation was maybe we'd see some things start to move here early in the year.
David O'Reilly: Yeah. We're we're really optimistic. And the timing of that question is is great, Tony. I'm actually in a hotel room in Carson City because I'm heading up to, legislature to speak with the assembly later today. To testify in favor of assembly bill two thirty eight. Which would provide the tax credits that Sony and Our new partner, Warner Brothers, we've all joined forces, the three of us, to advance this film tax credit bill through legislature. There's ninety days remaining in the legislative session here in Carson City. And know, so we have ninety days left to get this over the goal line. As soon as we have any updates or we have any, material changes, we'll be sure to update our investors.
Anthony Paolone: Okay. Great. Well, good luck. Thank you.
David O'Reilly: Thank you, Tony.
Operator: Thank you. And, again, to ask a question, please press star one one on your touch tone phone and wait for your name to be announced. Our next question coming from the line of John Kim with BMO Capital Markets. Your line is now open.
John Kim: Thank you, and good morning. I appreciate the sensitivity around the Pershing Square proposal, but I was wondering if you could could provide any sense at all as far as timing of when there will be an update And I just wanted to confirm the transaction needs, board approval and that shareholder approval to move forward.
David O'Reilly: Yeah. The the first thing is the thirteen d filing is between the special committee and Pershing Square, and I'm gonna leave any comments on timing or otherwise for them to to go find out.
John Kim: Can you name who's on that special committee?
David O'Reilly: You know, there's been a number of press releases that the special committee's put out and I would refer you to those to get the information you need in terms this proposal and their advisers. of, you know, how they're processing.
John Kim: Okay. Can you comment on going to operations, the Columbia move outs Any commentary on the kind of turnover you expect in 2025? And how many of the move outs, whether it's an office or multifamily, is potentially related to to Doge?
Dave Striph: Hey. This is Dave Striph. I'll I'll come in on the Columbia move outs. Yeah. We've had we've had some turnover there. But we're we're actively marketing the space. We're actually looking at one of the buildings in Merriweather Road to to actually empty it out and explores just excuse me, strategic alternatives with regard to it. But we actually got quite a bit of leasing in place right now. Quite a few tenants are in discussions, and we feel pretty good about it. So we'll have further updates as as things unfold.
David O'Reilly: Yeah, John. I would add that I don't think that we've seen any fallout to date from what's going on in Washington DC. Multifamily remains strong. We continue to see positive absorption in our assets. And the office move ins, move outs, contractions, have been pretty consistent. If not, honestly, it's been modestly improving over the past several months and quarters. And we haven't seen any negative fallout or positive impact of you know, government workers back to the office five days or efficiency moves made by you know, Doge.
John Kim: And then on your guidance for this year, what's currently assumed as far as Superpad sales and any commentary that you can find on acreage sold and price breaker that you expect?
David O'Reilly: We are cautiously optimistic that we'll continue to see really strong Superpad sales. And in Carlos' prepared remarks, we are expecting those to be heavily concentrated in the second and third quarter just based on the timing of when we're gonna be able to deliver those super pads to builders. I do think we're gonna see some meaningful increase in price per acre. The demand is incredibly strong from the homebuilders in that market, and despite national headlines, of of weakening or softening home sales, We've seen a resilience in Summerlin. We've seen a resilience in Bridgeland. So we're expecting both communities to be up modestly in 2025 compared to 2024, which has led us to our new record MPC EBT guidance for 2025.
John Kim: Okay. Great. Thank you.
David O'Reilly: Thanks, John.
Operator: Thank you. Mister, we have a follow-up question from Alexander Goldfarb with Piper Sandler. Your line is now open.
Alexander Goldfarb: Hey. Thank you. And, David, congrats on the Warner Brothers. Announcement. Good luck today in in the legislature. Question on the the homebuilders and the outlook for even bigger or more land sales on a dollar value, this year versus last. Can you just comment on what's going on with the home builders as far as their incentives to residents You know, newspapers or, you know, the Internet's filled with stories about you know, still challenged, you know, home price Market. Affordability and all this stuff, and yet you guys seem to defy that. So just curious if the buy downs or free upgrades that the homebuilders are doing if that's changed at all or if there are other things that have going on. And then also if any change in sort of the resident profile that's allowing you guys to sell or guide towards even stronger land sales this year to the builders versus last year?
David O'Reilly: Yeah. I look. I think taking a step back, and thinking about that question, Alex, it really comes down to the attractiveness and the quality of the communities in which we're selling land. Summerlin, Bridgeland, Woodland Hills, and soon to be Terra Valley I believe, meaningfully stand out in the relative market. The home prices within Summerlin relative to Las Vegas Valley, the home price in Bridgeland relative to Houston market are meaningfully higher. The quality of life that residents can experience here is better. The quality of education, the connectivity, to nature, and the amenities that we've built into these communities, I believe, are far Superior. As a result, our master plan community have outperformed throughout cycles. We've demonstrated that year after year after year. And that confidence has led us to provide this guidance today. We're having real time discussions with our home builder partners in all of our mass planning communities almost daily. And they're showing an appetite to continue to buy land because we're continuing to sell homes. Now their margins are under pressure. We are seeing, you know, continued inflation. We're continuing seen continued high mortgage rates. And home builders are being forced to offer some incentives, mortgage rate buy downs. I would say those are very consistent over the past several quarters. We haven't seen a ton of shift in in what's going on in any of our markets that's Notable. So I really think taking a step back, our confidence is just based on the success that we've had and the current discussions that we're having.
Alexander Goldfarb: Thank you.
David O'Reilly: Thanks, Alex.
Operator: Thank you. Our next question coming from the line of Craig Bibb with Jefferies. Profons. Your line is now open.
Craig Bibb: Hi. Hi, guys. Congratulations on another outstanding quarter and year. I promise this is a capital allocation question. So for closing funds, land trust, real estate companies, the tried and true method for reducing a discount in ABA is to buyback stock. Has the section two zero three waiver given to Pershing prevented the board from buying back up material number of shares given that they're already bumping up on the forty percent cap?
David O'Reilly: Greg, it is great to hear from you. It's been a while, sir. Thank you for the question. Look. We're always looking at ways to allocate our capital to drive our intrinsic value and net asset value higher, and there are times where that capital allocation is is a pretty easy one where we can put it into condos at thirty percent margins. And there are times where our share price is uniquely disconnected from our underlying value and share buybacks are an opportunity to allocate capital in that regard. Today, you know, we're looking at all those opportunities. We have a little bit left on our existing buyback program. And the board does not provide authorization for more. It's something that we debate every quarter in our boardroom, and I'm sure we'll be subject of conversation in our next one. And as it is required to be updated, if we are able to announce another buyback, we'll be sure to that. Promptly after any decisions have been made.
Craig Bibb: Okay. And what would happen if you pushed if your buyback if they buyback pushed pushing over forty percent?
David O'Reilly: You know, look, I don't know that our authorization today puts us in a position to make that calculation. And know, that's, I think, a question more for the security employers than it is for me. As I'm focused on the things that I can really control, and the things that I can control are where we rent our space, where we sell our land, and the profitability of our condos. So those things are really important to me and where I focus my time and
Craig Bibb: Okay. And when you're when you're doing your cost of capital calculation, how do you adjust for the forty percent discount to equity discount to NAV?
David O'Reilly: We're not using any equity. We're not selling our shares to raise the capital to allocate. So our you know, back in the day when, you know, I was a REIT executive and we were worried about issuing equity to make every acquisition, it became a more material impact to our calculation. When I think about our cost of equity, I think about what our shareholders want to earn by investing in Howard Hughes Holdings Inc. And it's clearly in the double digits, if not meaningfully higher. When we think about the equity returns into any new development project, any capital allocation to decision. We wanna make sure we're exceeding those targets that our investors expect to make as investors in Howard Hughes Holdings Inc.
Craig Bibb: And you're comparing those expected returns to the return to the shareholders from buying back stock at a discount in AV?
David O'Reilly: Absolutely. Those are all part of the calculation. We look at all the different capital allocation opportunities in front of us when we make those decisions.
Craig Bibb: Okay. Great. Good luck today.
David O'Reilly: Thank you so much, Craig. Nice to hear from you.
Operator: Thank you. There are no further questions in the queue at this time. Will now turn the call back over to Mr. David O'Reilly for any final remarks.
David O'Reilly: Once again, we appreciate everyone for joining us on today's earnings conference call. We look forward to seeing you all soon at the next investor conference or next earnings call when we speak again. If there are any questions, concerns, or or things that weren't asked today that you wanna follow-up on, we are always available. Thank you again.
Operator: This concludes today's conference call. Thank you for your participation and you may now disconnect.